Operator: Good afternoon. My name is Kimberly, and I will be your conference operator today. At this time, I would like to welcome everyone to the AGCO Corporation's 2012 Fourth Quarter Earnings Release and Conference Call. [Operator Instructions] I would now like to turn the call over to Greg Peterson, Head of Investor Relations.
Greg Peterson: Thanks, Kimberly, and good afternoon. Welcome to those of you joining us on the call and over the Internet for AGCO's Fourth Quarter 2012 Earnings Conference Call. We'd like to apologize for our technical difficulties this morning and any inconvenience that our delay may have caused you. We will refer to a slide presentation which is posted on the website. The non-GAAP measures used in the slide presentation are reconciled to GAAP measures in the last section of the presentation. We'll make forward-looking statements, including demand for our products and economic and other factors that drive that demand; product development plans and timing of those plans, acquisitions, expansion and modernization plans and our expectations with respect to the cost and benefits of those plans and timing of those benefits; and our future revenue, earnings and other financial metrics. We wish to caution you that these statements are predictions, that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2011. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. A replay of this call will be available on our corporate website. On the call with me this afternoon are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. With that, Martin, please go ahead.
Martin H. Richenhagen: Thank you, Greg, and good afternoon to everyone. 2012 was a very good year for the global farm industry despite unfavorable weather conditions in many of the world's important ag markets. In most cases, farmers made healthy levels of income and commodity prices remained at attractive levels. AGCO took advantage of these positive conditions and delivered a year of strong sales and earnings growth in 2012 compared to 2011. Slide 3 summarizes our results for the fourth quarter and full year of 2012. Organic sales grew over 12% for the full year and adjusted earnings per share increased to $5.25, a record for AGCO. We also made significant upgrades to our product offerings and improvements to our manufacturing facilities. We continue to make solid progress with margins in both North and South America. For the full year of 2012, South American margins improved about 100 basis points and North American margins reached 10%. In the fourth quarter, we achieved sales growth across all of our regions compared to the same period in 2011 on a constant-currency basis. Adjusted earnings per share for the fourth quarter was $0.99. As expected, these results declined from the fourth quarter of 2011 as we managed the ramp up of production at Fendt, had lower Fendt sales and experienced additional startup costs associated with the new Fendt assembly facility. AGCO's forecast for tractor and combine production volumes for 2012 are illustrated on Slide 4. Fourth quarter 2012 production was down about 1% compared to the fourth quarter of 2011. Lower levels of production in North America and Europe were partially offset by increased activity in our South American factories. As you know, the Fendt production schedule in Germany was more heavily weighted toward the first half of the year to compensate for lower production during the fourth quarter as we brought the new assembly facility online. Our Marktoberdorf build rates have now returned to more normal levels. We also expect to see improving production efficiency and cost through the first half of 2013. AGCO's order boards at the end of December 2012 were approximately flat in North America, down in Europe and up significantly in South America compared to the end of 2011. We expect production volumes for the full year of 2013 to be about flat versus 2012. Slide 5 details industry unit volumes by region for the full year of 2012. In North America, industry sales grew across all categories of tractors. The strongest growth came from the high horsepower segment due to the healthy income levels of row crop farmers. The combine market was relatively flat compared to the elevated levels in the full year of 2011. Industry unit retail sales of tractors in Western Europe were down slightly for the full year of 2012. Growth in the key markets of France and Germany was offset by declines in Southern Europe due to dry weather and credit constraints and declines in Scandinavia and Finland due to wet weather and a late harvest. South American industry retail sector volumes increased modestly during 2012 compared to 2011. Improved demand in the second half of the year in Brazil overcame a slow first half. Favorable exchange rates improved further and attractive soft commodity prices have energized the market in South America. I will now turn the call over to Andy Beck who will provide you more information on our fourth quarter results.
Andrew H. Beck: Thank you, Martin, and good afternoon. AGCO's regional net sales performance for the fourth quarter and full year of 2012 is outlined on Slide 6. Currency translation had a negative impact of about 4% on AGCO's consolidated net sales, and acquisitions added approximately 4% to the sales in the fourth quarter of 2012 compared to the same period in 2011. The Europe/Africa/Middle East segment reported a net sales increase of approximately 4%, excluding the impact of currency translation during the fourth quarter 2012 compared to the fourth quarter 2011. The negative impact of Fendt's lower production, especially on German sales, was offset by growth in France and Russia. North American sales increased approximately 8%, excluding currency translation impacts during the fourth quarter of 2012 compared to the same period of 2011. The GSI acquisition accounted for most of the increase. AGCO's fourth quarter net sales in South America grew about 30% from comparable 2011 levels, excluding currency translation impacts. Higher sales in Brazil due to healthy farm fundamentals and attractive government financing plans accounted for most of the increase. Net sales in our Asia/Pacific segment increased approximately 28% in the fourth quarter of 2012 compared to 2011, excluding the impact of currency translation and the benefit of acquisitions. Sales growth in Australia and China produced most of the organic increase. Part sales were $295 million for the fourth quarter 2012, an increase of approximately 4% compared to the same period in 2011, excluding the impact of currency. Slide 7 details AGCO's sales and margin performance. Adjusted operating margins were down about 240 basis points in the fourth quarter of 2012 compared to the fourth quarter of 2011. Gross margins were negatively impacted by costs associated with the start-up and low production at the Fendt facility in the fourth quarter of 2012. The decline in gross margins was partially offset by positive net pricing. Operating margins were also negatively impacted by market development expenses. In Europe/Africa/Middle East, operating margins were down about 400 basis points for the fourth quarter 2012 compared to the same period in 2011 due to lower production volumes, a weaker mix of products and the impact of the Fendt factory start-up costs. North American operating margins exceeded 8% in the fourth quarter of 2012 and exceeded 10% for the full year compared to the same period in 2011, including the benefit of GSI. Core margins were up significantly due to higher sales, a favorable sales mix and cost control initiatives. In the South American region, operating margins improved to 10% in the fourth quarter of 2012, up approximately 180 basis points compared to the fourth quarter of 2011. Favorable exchange impacts, cost-reduction benefits and higher sales volumes produced the increase. Excluded from our adjusted results is a noncash intangible asset impairment charge of approximately $22.4 million related to the company's Chinese harvesting business, as mentioned in our earnings release. The development of our harvesting business in China will likely take longer than originally estimated. We are optimistic that the Chinese farm equipment market remains a significant opportunity for AGCO. In the second half of 2012, we started to feel the impacts of the U.S. drought on our grain storage and protein production businesses in North America. Slide 8 details GSI sales by region and by product for the full year of 2012. Despite the unfavorable second half conditions, GSI sales grew by about 3% in 2012 compared to pro forma 2011 sales. Strong growth in Asia was partially offset by a decline in North America. GSI contributed approximately $0.38 of earnings per share during the full year of 2012 and was diluted by about 12% in the fourth quarter. Slide 9 looks at our depreciation and capital expenditure trends. We increased the investment in some of our plant productivity projects and new products during 2012 to support our growth and margin ambitions. Looking ahead to 2013, we expect to further increase our CapEx, as we continue to work to meet Tier 4 emissions requirements, refresh and expand our product line, upgrade our system capabilities, improve our factory productivity and establish assembly capabilities in China. Slide 10 addresses AGCO's free cash flow which represents cash provided by operating activities less capital expenditures. As a result of the strong free cash flow AGCO had generated over the last few years, our balance sheet and liquidity position at the end of 2012 remains strong. In 2013, we plan to continue investing for growth and profitability improvement and additional investments in our plants and new products. After covering increased spending on these strategic investments, we are targeting another year of solid free cash flow for 2013. At the end of December 2012, our North America dealer month supply on a trailing 12-month basis was approximately 5 months for tractors, 3 months for combines and 7 months for hay equipment. Other working capital details are as follows. Losses on sales receivables associated with receivable financing facilities, which is included in other expense net, was approximately $5.4 million during the fourth quarter of 2012 compared to $6.4 million in the same period of 2011. Shifting focus to AGCO's financial management, Slide 11 shows how our net debt to total capital remains at very conservative levels even after adding the debt associated with the GSI acquisition completed late in 2011. In 2012, we reduced our debt by approximately $200 million and going forward, we look to maintain our conservative balance sheet and investment-grade rating as we begin to return cash to shareholders. With a healthy balance sheet and improved U.S. cash flow generation capacity, AGCO took the first step in returning cash to shareholders during July when our Board of Directors approved a share repurchase [indiscernible] repurchased $18 million of its common stock during 2012. The primary purpose of the new program is to limit dilution resulting from our equity incentive plans. We took the next step last month when we announced the initiation of a $0.10 quarterly dividend which will be paid in March of this year for the first time. Our outlook for 2013 for our regional markets is captured on Slide 13 and has not changed since we first communicated it to you during our analyst meeting in December. We're anticipating relatively flat demand on a global basis. In North America, the strong financial position of row crop farmers and the expectation of farm income above historical averages should support healthy demand from the professional farming sector. Strong farm fundamentals are expected to continue in Brazil in 2013 and clarity around government financing programs are expected to stimulate growth between 5% and 10% compared to the levels in 2012. We are expecting a mixed demand pattern in Western Europe, with weakness in Northern Europe due to the lingering impacts of a wet Fall and continued softness in Southern Europe due to tight credit and dry weather. Solid demand across some of the larger European markets is expected to offset most of the decline in Northern and Southern Europe. We are currently forecasting 2013 demand in Western Europe to be flat to down 5% compared to 2012. Slide 14 highlights assumptions underlying our 2013 outlook. Our forecast assumes price increases ranging from 2.5% to 3% on a consolidated basis and we expect the impact of currency to be approximately neutral. In 2013, expenditures on new product development and Tier 4 emissions requirements will cause an increase in engineering expense by approximately 10% to 15% or about $40 million. We also look for new products in our productivity and purchasing initiatives to drive improved gross margins for next year. For 2013, our SG&A expense will include expenses associated with site and manufacturing start-up and market support cost amounting to about $10 million for our Chinese operations. We mentioned at our analyst meeting in December that the recognition of certain U.S. deferred tax assets was under review. We did make a change in the fourth quarter of 2012 which resulted in a write-up of our deferred tax assets due to improved profitability of our North America business. Subsequent to the write-up, our effective tax rate will increase in 2013. However, our U.S. cash taxes will remain lower through at least 2013. We are now forecasting an effective tax rate of between 32% and 34% for 2013. Slide 15 lists our view of selected 2013 financial goals. We are expecting 2013 sales in the range of $10.2 billion to $10.4 billion. We expect it to continue to improve gross and operating margins from 2012 levels, including significant investments and product development, market development and startup costs associated with our manufacturing projects. We expect increased capital expenditures to be in the $400 million to $425 million range and free cash flow in the $125 million to $150 million range after funding the expected increase in capital expenditures and higher inventory levels associated with Tier 4 product transition. Slide 16 lists our updated view for 2013 earnings per share. The only change from our December analyst meeting is the negative impact of the new higher effective tax rate, which we are currently estimating at about $0.40 per share. We are now forecasting earnings per share in a range from $5.10 to $5.35 per share. In 2013, we expect more normal seasonality for our production and our sales. As a result, our forecast assumes first quarter and second quarter sales will be approximately flat with the same periods in 2012, and we are projecting first quarter earnings per share of approximately $0.85 per share. With that, operator, we are ready to open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Stephen Volkmann of Jeffries.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: So I wanted to just dig into GSI a little bit, if it's all right. What type of sales are we baked in to the full year $10.2 billion to $10.4 billion range for the whole company?
Andrew H. Beck: Sales are looking to be relatively flat for the year 2013 compared to 2012.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: All right. That's actually a little better than I would've expected. Is the mix going to be more non-U.S.?
Andrew H. Beck: Yes. We do expect that North America sales will be down and be offset with growth in the international markets, particularly in South America and Asia. We also expect the season [indiscernible] lies to be a little lighter in the first half of the year because that's when North America was still running kind of on a normal range, and then the drought effects hit us in the second half. And so we'll -- we start -- expect to start out a little slower on our GSI sales in 2013, especially in the first quarter.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Okay. And does the mix shift out of North America have any implications for the margin of that business?
Andrew H. Beck: No, not materially.
Operator: Your next question comes from the line of Andy Kaplowitz of Barclays.
Alan Fleming - Barclays Capital, Research Division: It's Alan standing in for Andy today. Wanted to touch on your comment on the 1Q guidance. On the flat sales, what is driving the kind of unusually weaker 1Q EPS relative to 1Q in the prior year?
Greg Peterson: Alan, if you recall, 2011, we accelerated production at our Fendt facility ahead of opening the new assembly facility, so we had unusually high volumes in Europe and especially at our Fendt plant. So as a result, our sales and our margins where, from a seasonality standpoint, unusually high, and that allowed us then to transition into the new facility in the back -- in the fourth quarter, essentially, with that earlier production having been under our belt. So it's really a function of the heavy Fendt production in the first quarter last year.
Alan Fleming - Barclays Capital, Research Division: So have margins in Europe troughed? Should they improved sequentially in 1Q?
Greg Peterson: We're looking...
Andrew H. Beck: Yes, we would expect that the margins would be the lowest of what we just experienced and we start to build back our margins here in the first quarter and then even more in the second quarter. So the first quarter margins will still be lower than what we experienced a year ago for the reasons that Greg discussed with the lower amount of Fendt production and sales, along with a much higher engineering expenses as we're trying to get accelerated on our Tier 4 development here in the first quarter, get a lot of projects through to completion on time. So that's also affecting our margins and impacts our first quarter.
Alan Fleming - Barclays Capital, Research Division: Okay. And then if I could just follow-up with a question on your cash flow this quarter. It was pretty good and full-year cash flow came in substantially ahead of what you had previously guided to. Kind of what drove the delta there? It looks like you had a significant inventory reduction. And can you just talk about what regions that showed up in?
Andrew H. Beck: Well, the reduction was across the regions, but particularly in Europe, we cut production and worked a lot of work in process down during the last quarter of the year. Also, once you get through your seasons, you're able to get parts inventories down as well. But really, we saw inventory reduction across all the regions and we're pretty pleased with what we ended up with. We also had our receivables down really just because of the timing and mix of sales from compared to where we were a year ago, may want to get those down a little more than we had thought, and so that drove the improved performance on the cash flow.
Operator: Your next question comes from the line of Jamie Cook of Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Two questions, Martin. I think in your prepared remarks, you talked about the order board for South America being up significantly. Can you just provide a little more color on how much and the visibility that you have? Because your fourth quarter sales were good, too, and we're sort of keeping the industry -- the forecast the same. And then I guess my next question, on the -- in North America, what was the margin excluding GSI? Because again, you continue to make sort of good progress on the core margins of that business. And I guess how much incremental opportunity do you think there is in 2013 to improve the margins in North America x GSI?
Martin H. Richenhagen: Jamie, what we've seen in South America right now is that the fundamentals for the industry are pretty much back to a strong year again. So therefore, I think we can be optimistic for 2013. And the order book, where are we compared to last year?
Jamie L. Cook - Crédit Suisse AG, Research Division: And how much you were up?
Andrew H. Beck: Yes, the order book for South America is about 50% from where we were a year ago. Keep in mind that a year ago, we were in the middle of some dry weather down there and actually, the orders were unusually low. So this is a large recovery from where we were at that point. From a coverage standpoint, that's probably 2 to 3 months worth of sales. We don't have huge order backlogs typically in South America, but that's a very healthy, good order backlog right now.
Jamie L. Cook - Crédit Suisse AG, Research Division: And was that -- to be clear, is that just the market or were you able to gain share? Are you doing better than the market as well in South -- or in Brazil?
Andrew H. Beck: I would say we're participating with the market at this point. You can also see that the margins have improved in South America. So, we're focused on the balance between market share and margins and we're very pleased with what we've been able to accomplish on the margin side.
Martin H. Richenhagen: Market share is pretty solid, so...
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And then, sorry, just again on the North American business ex GSI, what the profitability was in the quarter? And, Martin or Andy, how much opportunity do you think there is to continue to improve that in 2013?
Andrew H. Beck: Jamie, I don't know if have the quarter in front of me, but for the year, it was about -- it was over 8%. So, we have improved the core North America margins along with the contribution of the GSI business.
Martin H. Richenhagen: And the team really did a great job, so that means -- it looks like as if we now -- as if we are now in a very stable situation within North America.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. I mean, but do we think that there's incremental opportunity in 2013 or is this the way to think about it for next year? Is the 8% change the way to think about it?
Martin H. Richenhagen: There's incremental opportunity, I would guess, yes.
Operator: Your next question comes from the line of Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Andy, can you talk about what was material cost inflation that you saw in the quarter and what are you assuming in your 2013 guidance? And then, you also mentioned that currency was neutral for the year. I'm wondering if you could just share with us what your assumptions are for a dollar and real-dollar exchange rates?
Andrew H. Beck: Okay. For the quarter, our net pricing benefit was about 100 basis points. So our price increases were close to 3%, a little under 3% and offsetting the increase in materials, we netted about 1%. And obviously, that was offset by some of the inefficiencies and lower production that we've discussed already. As we look into next year, our focus on margin improvement, we expect to improve gross margins by probably 70, 80 basis points and most of that is in the net price arena.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And Andy, the currency assumptions, please, on the euro-dollar and real-dollar?
Greg Peterson: So the euro is similar to where it is today, kind of in the low-to-mid $1.30s. And then the real, close to -- right around BRL 2, BRL 2 to $1.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And lastly, the Fendt production and your P [ph] transition, what was the impact on your EBIT this quarter, Greg? And I guess, how should we think about that into the first quarter? Are we back at a normal run rate in the first quarter or are we still working on the transition?
Greg Peterson: Yes, so in the fourth quarter, Jerry, Fendt was -- from an EPS standpoint, Fendt was probably about a quarter's worth of damage to our EPS in the fourth quarter. And into the first quarter, we're not back yet to where we want to be. We still have some extra heads in the process that we'll work through as we get beyond the first quarter. So we'll still have, in the first quarter of 2013, from -- I guess, more from a margin standpoint, probably 50 or 60 basis points of drag in the first quarter related to Fendt.
Jerry Revich - Goldman Sachs Group Inc., Research Division: In total company or just the...
Greg Peterson: That's total company.
Operator: Your next question comes from the line of Ann Duignan of JP Morgan.
Michael Shlisky - JP Morgan Chase & Co, Research Division: It's Mike Shlisky filling in for Ann today. I want to touch quickly on GSI again. We've been seeing some livestock industry players sort of calling herd sizes and getting a little squeezed on feed costs. Just wanted to know, now that we're at the start of 2013, what effect do you think some of the squeezing that's going on in that industry is going to be affecting demand for some of your livestock equipment in GSI? And actually, your overall livestock industry exposure?
Martin H. Richenhagen: It does not because our livestock is more in chicken, broilers, layers and pig, not so much into beef.
Michael Shlisky - JP Morgan Chase & Co, Research Division: Got it, got it. And just so to kind of fill up on that, what about some of the extensions and expansions of the tax benefits that we saw on December 31? I mean, is that going to affect, do you think, livestock players, both chicken and other animals, their appetite for additional equipment?
Martin H. Richenhagen: Yes, we think so, but let's say, I think there's a certain uncertainty in the U.S. market. We will -- we see more growth in the market -- in our -- the more emerging markets like China and South America.
Operator: Your next question comes from the line of Ashish Gupta of CLSA.
Ashish Gupta - Credit Agricole Securities (USA) Inc., Research Division: I'm wondering if you could give us a little bit more color on sort of what's driving the $125 million to $150 million of free cash flow forecast. It looks like with the cash taxes being lower, strong net income, that it should be higher. Is there just something I'm missing in the working capital?
Andrew H. Beck: Yes, it's -- you're right. It's around the working capital usage that we're forecasting at this point, along with the higher CapEx. Recall, we said CapEx would be $400 million to $425 million, which is $60 million, $80 million higher than this year. As we also look at the working capital, we have 2 impacts that I'll point out, one is on inventory. As I mentioned in the prepared remarks, we are looking at increasing inventory in order to bridge our way to the Tier 4 final new product introductions that began in 2014. So as we get at the end of 2013, we will have additional engine inventory and in some cases, finished goods inventory that allow us to transition our way to having a more orderly new product introductions in 2014. So that is one of the impacts. And then secondly, on receivables, since we expect to have a little more back-end loaded sales than we did this year, we're looking for receivables to be higher than where they are this year, at the end of the year. So working capital usage probably is going to be in excess of $200 million in 2013.
Ashish Gupta - Credit Agricole Securities (USA) Inc., Research Division: Great. That's very helpful, Andy. So just on Fendt, I'm wondering how you're thinking about opportunity for share gains now that you're not capacity constrained?
Martin H. Richenhagen: Well, Fendt has a very, very healthy and very advanced product range and we have a very high market share in Western Europe, so mainly Germany, France, Spain, England. So what we think is there will be growing demand in some of the other European markets, mainly also coming from Eastern Europe. So overall, I think Fendt will be in a position to leverage a new footprint very soon.
Operator: Your next question comes from the line of Rob Wertheimer of Vertical Research.
Robert Wertheimer - Vertical Research Partners, LLC: First, just a quick clarification. I think you touched on the drag of Fendt in the quarter, but I don't understand -- I think you said a $0.25 [ph]? was that $0.25 of earnings impact in 4Q from identified extra bodies that are on their way out? Is that what you said?
Greg Peterson: Yes, that is, yes.
Robert Wertheimer - Vertical Research Partners, LLC: And you think that's the total impact or would there be anything else in terms of ramping...
Greg Peterson: Yes, there's also some volume-related and some mix-related in terms of our sales. So it bleeds into a couple different categories, but yes.
Robert Wertheimer - Vertical Research Partners, LLC: But the $0.25 is just extra heads you can comp? Okay, beautiful. And then second, I don't know if this is...
Greg Peterson: Actually, Rob, the $0.25 is kind of all in, but it shows up in sales and -- little bit of sales, but it's more about margins related to those sales.
Robert Wertheimer - Vertical Research Partners, LLC: So this may be too detailed to go to on the call, but your margins, obviously, North America have been impressive for a multi-quarter, multi-year period now. How much of that is driven by high horsepower versus you're seeing broad margin improvement across the product and portfolio in the horsepower range?
Martin H. Richenhagen: It's both, but it's mainly, let's say -- in North America, we really worked hard on a complete reengineering process -- core process redesign. We looked in all the factories. So it's more getting the business model right. And then of course, the high horsepower tractors help, but they're not the main reason.
Operator: Your next question comes from the line of Seth Weber of RBC Capital Markets.
Adam Nielsen - RBC Capital Markets, LLC, Research Division: It's Adam Nielsen here on for Seth. Could you comment on what you're seeing in used equipment flow to -- in Europe, out East?
Martin H. Richenhagen: Yes, the U.S. equipment market in Europe is still doing rather strong. Of course, where you see problems is in the very big combine, so that's more for our competitors than for us. And so as soon as product got -- gets a little bit too sophisticated, the use markets in Eastern Europe don't, basically, consumed it so well. But overall, for us, it's pretty good. So the markets are pretty strong.
Adam Nielsen - RBC Capital Markets, LLC, Research Division: Great. And then just a quick one on volume guided flat and pricing 2.5% to 3%, that's roughly nears your sales outlook. Can you comment a little bit on mix dynamics for the year that you see? It would seem to be implied to be about neutral.
Martin H. Richenhagen: It is neutral.
Adam Nielsen - RBC Capital Markets, LLC, Research Division: Neutral, okay. And one last one, just a little bit of an update on Santal and some of the sugarcane harvester integration there and cross-selling opportunities?
Martin H. Richenhagen: That works pretty well. Of course, the product needs some engineering work, quality needs to improve. But overall, our dealers are very excited and we will see some growth in the coming years.
Adam Nielsen - RBC Capital Markets, LLC, Research Division: Okay. Is that a '13 or more of a '14 over time here?
Martin H. Richenhagen: We will see some already this year. But of course, in the years to come, I think the numbers will be pretty strong.
Operator: Your next question comes from the line of Andy Casey of Wells Fargo Securities.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: A lot of questions have been answered already. Could you guys give some puts and takes on what drove the South American margin improvement? You had a good performance last quarter and again this quarter, and I'm just wondering if this quarter was more volume than anything else.
Andrew H. Beck: Andy, I think it's a combination of the volume, plus we've really worked hard on improving the cost of the products. So we have a number of product cost improvement programs that we've been working on where we simplify model range, trying to improve the mix of the products we sell. And we're now -- I think the pricing has been a little bit more solid as well. And so, all that put together has allowed us to get the margins up.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: Okay, okay. And then on the government incentives down there, are you seeing any skewing to any particular product type or is it pretty much across the board?
Martin H. Richenhagen: It's pretty much across the board and it's pretty much consistent with a good visibility out in the future.
Operator: Your next question comes from the line of Ross Gilardi of Bank of America.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Just had a couple of questions. Martin, could you just talk a little bit more about Europe? And obviously, there are puts and takes in there, weather-related issues in the North and it's complicated. But what's your overall level of conviction that Europe has sort of bottomed right now?
Martin H. Richenhagen: Well, actually, I agree, Europe is complicated. But on the other hand, Europe is pretty stable when you look at it overall. So you have, of course, impact from climate and that's a little bit more volatile than what we are used to here in the U.S. I think yes, we certainly -- I think the markets shouldn't go down a lot, but also, it didn't. So that means when you think about markets which could recover soon, it's Italy, Spain, England and maybe Scandinavia.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: And I think you mentioned that France was up. Can you talk a little bit more about France?
Martin H. Richenhagen: France is the biggest market for farm equipment in Europe. And for us, it's a great market because we have a very strong distribution network. We have a factory in France, which helps because the idea to -- for the French farmers, there's a certain appeal to buy something made in France, maybe not for you so much. And so therefore, I think this market is doing pretty well. And we have also chances to gain share there a little bit, I think, over time.
Andrew H. Beck: That market was up about 10% this year.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Okay. And anything new happening with CAP Reform?
Martin H. Richenhagen: Nothing which would have a big impact on our business.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Okay. And then just the last one I had, there's been some negative press about Xiamen in China, and I think you've flagged your China as a source of demand growth for GSI, particularly on the poultry side. Are you seeing any slowdown for GSI products in China, particularly in poultry?
Martin H. Richenhagen: No, we do not see that.
Operator: [Operator Instructions] Your next question comes from the line of Adam Fleck of MorningStar.
Adam Fleck - Morningstar Inc., Research Division: Following the third quarter, you had thought you'd be increasing production slightly from a year ago this quarter, but it looks like you're actually down a bit. Was there something that changed throughout the quarter that led to this or is that just more in line with your thinking?
Andrew H. Beck: I think we're pretty close. We did adjust some of our European production, as you see. We got the inventories lower and I think most of the change was probably around trying to adjust inventory levels more than affecting what we were seeing in the marketplace.
Adam Fleck - Morningstar Inc., Research Division: Okay, great. And then, your part sales growth slowed throughout the second half of this year, share hours used was probably down. Do you see as the potential increment opportunity for the back half of '13, especially since they're higher margin?
Andrew H. Beck: Well, you're exactly right. That's what we saw -- was in the parts business, the level of -- activity levels in the harvest did cause us to have some softness there. It'll all depend on how this harvest goes coming up in 2013. If it's a little more normal, then there might be some opportunity there.
Operator: Your final question is a follow-up from Ashish Gupta of CLSA.
Ashish Gupta - Credit Agricole Securities (USA) Inc., Research Division: Just a follow-up. Philosophically, I'm wondering if you could ever see share repurchase used beyond offsetting dilution as your North American cash flows grow.
Martin H. Richenhagen: We don't just -- well, we review that on a regular basis, but the -- we have nothing in the pipeline right now.
Operator: I will now turn the call back over to Greg Peterson for closing remarks.
Greg Peterson: Thanks, Kimberly. I just would like to once again thank everyone for their participation today and encourage you to follow-up with me if you have additional questions. Thanks for your interest in AGCO and we look forward to talking to you soon.
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect.